Antonio Carlos Velez Braga: Good morning everyone. My name is Antonio Carlos Velez Braga, Investor Relations Manager and we'll now start the transmission of our webcast reflecting the Cemig results of the fourth quarter last year, with the presences of Dr. Mauro Borges Lemos, our CEO; Dr. Fabiano Maia Pereira, CFO and Investor Relations Director; and Dr. Leonardo Magalhaes, Controller. You can also follow-up using 5511-2188-0155 or 5511-2188-0188, also on our website ri.cemig.com.br. To start off the presentation, we now convey the word to our CEO, Dr. Mauro Borges Lemos.
Mauro Borges Lemos: Good morning to all listening to us, especially investors and market analysts. I'd like to first of all say that we're very much at ease and satisfied with the results we're now presenting to you, given the context of major difficulties posed and traversed now by our country's economy in 2015 and 2016. There are some highlights I should put to you. First of all, it has been a matter of big effort and dedication from the part of the Executive Committee of Cemig aimed towards evermore operational efficiency and these efficiency measures have contributed to 8% nominal reduction in PMSO 2015. This effort will be continued into 2016 and we believe that these are critical measures for us to do adjustment of the Company to the new context in the country. We expect further reductions in 2016 and 2017 with our new strategic planning with this substantial reduction of PMSO, that's a crucial point of our delivery, the delivery from the present Executive Committee. We also believe that these efforts, as far as the year 2015-2016 agreement, these are favorable to the Company, the profit sharing agreement and here we could count on big comprehension, understanding on the part of our employees at all levels from top management, heads of department and managers, they have very strongly adhered to the agreement having the well-being of the Company in view and this was the strategic view that were shared by our employees, despite the difficulties faced in dealings with the unions representing the employees. But we could count on this very substantial contribution on the part of our employees, supporting this agreement that provides further financial sustainability to the Company. Also, we have reshaped the staff structure for voluntary retirement incentive plan or plans and they have started -- while they have been going on ever since 2015, also 2016 and there is a key point also in increasing our operational efficiency. Another part of our strategy involves the new portfolio being finalized or rather being executed in three business dimensions, focused on investment, it is totally dedicated to the core activities and business of the Company, of Cemig and we consider this to result in further efficiency. So, they're paying even better results in our major business activities which have been the source of financial sustainability for Cemig. Also, we make investments in these critical areas. I would highlight the effort, as I said before, in terms of the PMSO and the use of CapEx of Cemig distributors. The use of CapEx and this effort to reduce PMSO are crucial aspect for Cemig to be so well adapted to the regulatory conditions that have now been set for our renewed 30-year contract. This reflects big efforts made by the Company at all levels starting from top management. Also this investment, the new strategy, the new portfolio strategy aims at concentrating all efforts on our core activities, our core businesses and we're now proceeding to this effort to disinvest from those activities that are not our core business. They, of course, also implied an important point for our reduction in leverage and we're now more focused on our main activities where we have our central competencies accumulated. Also, we're adapting our return rates to the new economic context of Brazil, all the project. All current projects in our current portfolio are being adapted, adjusted in terms of their return rate and this is key for reshaping of our portfolio of investments. Also, as part of this process of strengthening our managing and administrating capabilities is more robust, more solid corporate governance and the compliance department that is now reporting -- it has been created, it is now reporting to top management is one important point for strengthening our corporate governance which is by the way a long tradition in our Company. We're a State Company, but we have always adapted and adopted structural measures and models for management. And finally, the assurance of our financial sustainability, we believe that now as of today, it's secured. We're proposing payments amounting to BRL634 million in dividends and this makes it feasible for the Company to cross this difficulty year of 2016. Another very relevant aspect is that the short term debt of the Company has been totally refinanced in conditions that of course reflect the difficulties of the market presently, but in conditions that also guarantee the sustainability of this debt for the Company. We believe that this effort to renegotiate and refinance the short term debt was a crucial point and it was a beginning and this really ensures that in the current year and next year, our financial plans will be backed. Also highlighting the generation factor of Cemig, some very important achievements by the Company in this so important segment strategically for the Company. We have made very important investment of BRL2.2 billion, recovering important assets for the Company which was the object of an auction, an old hydro plant went on auction. Some of them used to belong to Cemig and we would have to return them to the union because the contracts were expiring, but we managed to arrive at a solution based on the new framework in the 688 and we were very successful. We regained the concessions over these plants for another 30 years and on the condition that we being very adequate to the market today. That's very important for Cemig, both from the point of view of return on capital and also in terms of our assets. The negotiation process involving the three major clients of Cemig; Jaguara being the first, that was going through proceeding with the Federal Supreme Court and the proceedings evolved positively. There was this first reconciliation meeting and the Federal Supreme Court is making an effort now to arrive at an agreement between Cemig and the union. After this reconciliation meeting, the first meeting, we were given some more time. Ministro Dias Toffoli, Judge of the Supreme Court has given us some time for us to proceed to advance this negotiation and we're confident that we will reach at a very positive result for all involved, the society, the union and Cemig itself. Also, the renegotiation of hydrological risk was also very positive for the stability of the electrical sector in Brazil and Cemig, of course also, we adhered to this regulated market. We accepted this negotiation in the regulated market and also we have recognized a BRL63 million of regulatory assets in 2015. These are also very relevant negotiations for the sector and also for Cemig's stock holding in major investments in North Brazil. Finally the creation of Alianca Energia, we had a BRL107 million in equity method earnings. I would highlight that as very important and we announced that last year already that we were reaching the final steps towards instituting this new company together with Vale and we believe that it will now be further instrument for generation for our Company. A final highlight about Cemig D, concession contract has been renewed for a further 30 years. This is absolutely relevant for the Company, as a traditional company operating in Brazil, a public utility company, this 30-year contract places our Company as the top utility of its kind in Brazil and it also reinforces our main activity which is generation, transmission and distribution of energy. This goes back to what I said before, to our effort to concentrate the focus more and more on these core activities of the Company, the effort towards sustainability and achieving higher levels of quality and service. This is all crucial for the distribution side of the Company to resume its leading position. Like very few other companies in Brazil, our Company is very deep knowledgeable about its business, it's a very profitable business and it can, again, bring us very good results. We're dedicated to make the best of this new 30-year contract. And now, I'll hand it over back to Velez, to proceed with the presentation.
Antonio Carlos Velez Braga: We have some slides that are highlights of recognition. An important point here that shows a lot of a growth from our Company is reflected in our winning the Transparency Trophy, awarded by Anefac, Fipecafi and Serasa. That's a proof of the transparency in financial statements, also it demonstrate our commitment to transparency. Another important highlight is Value Creation Abrasca Award. This has been awarded to Cemig by Abrasca covering the five years ending in 2014. According to the Analyst Committee, Cemig was the Company adding the highest value to the stakeholders in the electricity sector during the period. Sorry, I forgot to mention a very important award which is the IASC that reflects consumer satisfaction. That's an important one because it's coordinated by ANEEL, the electricity agency in Brazil. It involves a lot of competitors and Cemig was the winner in Southeast in the category over 400,000 consumers. So, this is a very important recognition to Cemig and it further demonstrate our commitment to the quality of the service provided and of investments made in distribution area as we'll highlight even more a little further on, during this presentation. And also, the recognition from the market, sustainability as we know depends on the triple pillars, environmental, social and financial. This triple commitment of Cemig in face of their stakeholders, investors, the society in general and environment where we operate, over very many years, we have already been selected every year, Cemig's part of the DJSI World Index ever since its beginning and there is a corresponding index created by Bovespa, we're there too and also the Carbon Efficiency Index. All these show and reinforce our commitment to -- assumed by Cemig in face of our employees, investor, stakeholders in general. Another important point and it's a doubt that the market has been pertaining to you recently, whether there would be any change in our stockholding agreement and structure? Well, BNDESPAR, we will start having 13% of our common shares by BNDESPAR and we still hold the majority and the present stockholders agreement entered in 2011 between Cemig and AGC Energy remains unchanged. And now, I hand the floor to Dr. Fabiano to have his own remarks on the results.
Fabiano Maia Pereira: Good morning to all of you. We're now bringing you the 2015 final figures. We have an increase in net revenue as from 2014 of 8.9%. As for EBITDA and net profit, we saw a decrease from the previous year in EBITDA 22.4% and the net profit dropping 20.6%. Main factors being; in the case of EBITDA and net profit was the fact that we have a lower spot price last year; GSF, Generation Scaling Factor also impacted the production as a result; and also the provision for a put option on Parati share. Provisions made at the amount of BRL899 million in the fourth quarter and that have an impact on the consolidated results. As for the consolidated net revenues, we could see that there was an increase resulting from the tariff adjustments. We have an extraordinary adjustment and then the ordinary one. There was a drop in our power supply, especially the wholesale industrial market. As everybody knows, it has to do with financial or the economic crisis the country has been going through last year and this year also. As for the consolidated operational expenses, our CEO has mentioned it, but it should be reinforced that our Company had this tremendous effort achieving 8% nominal reduction. If we consider 10% plus increase in inflation, we can see how substantial that increase was. The budget for 2016 already includes a prospect of reduction. As for Parati, it is the main provision BRL1.079 billion in provisions for Parati shares put option. As for EBITDA, we have the comparison with the last year's guidance, if we put provisions side-by-side, we could see that it's in-line with what have been announced. Well, provisions made do not allow us to reach the level they expect for last year, but if we consider May figures; last year, we see that we did achieve the levels as presented at the time. As for consolidated net profit, a 20% drop, but we should strive the fact that although it's a drop as compared to 2014, there was profit of BRL2.4 million which given the context, is an excellent figure and it enables Cemig to proceed in its work to seek optimization of its portfolio, continuous improvement also in operational efficiencies. Also, this was enabled by all the excellent work we did last year. One of the questions that we would hear now and then is regarding the debt profile. You can say that the total net debt is BRL11.7 billion as compared to a lower debt in 2014. But as we haven't renewed last year yet the new concessions, there was a real difficulty in extending the debt for Cemig D, but after getting the renewed contract, 30-year contract, now we're in a better position to extent that debt, good deal of our debt by 2016 has been already rolled on in the first semester of 2016, it shows a much better picture right now. We will work more on this profile, the capital market in the country is not very favorable and not too much improvement can be expected from this. But we'll, anyway, pursue that improvement in terms of term and cost of the debt. This is a breakdown for Cemig GT for 2016. It has a 2.8% rolling the debt and that's a consequence of the investment made in those eight plants that we acquired last year. We're already in the process of rolling over this debt. Some banks are helping us in that direction with advisory support and so on and we will proceed to do that as soon as possible. Cemig D, as I said before, before the new contract was signed, the situation was a little more difficult. But now we're in position of rolling over with an average tenure of 3.2 years and the interest have not been rolled over, will be settled this year and that's an intention our Company has to reduce leverage in Cemig D. In here, investments of 2015 and the planned investments 2016, perhaps Mauro would like to say a few words about this.
Mauro Borges Lemos: Okay, I think that what's worthwhile stressing here is that despite all the difficulties, economics difficulties even so we have made BRL1.7 billion plus in investments and almost BRL1 billion in Cemig D. This is prudent in order to protect our most important Company in our Group, also investment in Cemig GT. And for 2016, we plan to make BRL3.5 billion investments, of which BRL2.2 billion involve the acquisition of the plants occurred last year. Cash flow, the scenario is positive as we look at cash generation from operations. The results were a little in excess of BRL3 billion and a good deal of this cash has been invested for future returns to the shareholders. Finally in proposal for allocation of net profit, the Board of Directors have referred that to our General Assembly, pointing at our distribution of BRL633 million part in dividend versus BRL1.2 billion kept in reserves for investments. That would be it. We can now move to questions.
Operator: [Operator Instructions]. Our first question from Carolina Carneiro from Santander.
Carolina Carneiro: Two questions, first about the rolling over of the debt. You indicated that a good deal of the debt, especially Cemig D has been rolled over. Could you indicate some level of cost involved, because we saw other companies incurring costs, will that be different from what we've seen in the market? And also cost performance, we could see that you reduced PMSO, but as for Parati and SAAG had some reversals of expectations, already below what we would have in previous quarters. Just so as to understand, what exactly led to that? Anything else that helped your performance or is this recurrent level of cost that we could adapt and understand what really was recurrent in those cases?
Mauro Borges Lemos: As for the rolling over of debt, not different from all companies in Brazil, Cemig has been paying more than what it would by the -- about half way last year. But today I can say and we can see here in this graph that the cost of the debt has been increasing in nominal terms, but there is a drop in actual terms, in real terms and the amounts are in line of what you said 125% CDI. We have talked to banks about two fundamental points. First, we have managed to include the potential repurchase of these assets which allows us to consider that we may buy it back and renegotiate it into a lower or cheaper debt if the scenario improves. Another point that I would say, fortunately the market is open to Cemig and we can do the rollover for longer than 360 days for substantially longer periods and that improves our debt profile. As for provisions, Dr. Leonardo perhaps would like to say.
Leonardo George de Magalhaes: As for provisions, as said, there has been a reduction, if we analyze it closely, for [indiscernible]. For example, in our expectations from our legal department involving potential losses in current proceedings, our provision presently was not above inflation, it was even below the inflation. The tariff adjustments in 2015, there was a big concern about people go into default, consumers going into default, but the numbers stayed pretty leveled. As for other provisions, I can say that reductions there are mostly associated to labor agreements, with unions and part of that was converted into our labor cost. That's basically what explains reductions in comparison with the previous years.
Operator: Our next question comes from Lui Leite, Bank of America.
Lui Leite: About the sale of light assets, there was this leverage cash situation, very favorable, is there any chance you could buy the generation part of Light?
Mauro Borges Lemos: We have nothing settled yet about this type of operation you are suggesting. To our knowledge, what already is, is a fact is this effort made by Light to lower their leverage levels and that's basically what we could say at this point.
Operator: Our next question comes from [indiscernible], Credit Suisse.
Unidentified Analyst: I would like to know more about the timetable for the debt rollover? BRL6.3 billion of debts are expected for this year, how much of that has been refinanced or not? Also, when we talk about CapEx timetable for the year, the grant of concession is an important factor there. I would like to know how much will this be refinanced by the market? New funding or new financing, what could you say about that?
Mauro Borges Lemos: After rolling over of Cemig D's debt, especially if we consider your model [indiscernible], we can consider that almost the totality of that, what is not being rolled over will be settled by late this year. As for reinvestments, we attracted BRL1.4 billion to invest in the Grant and we're now negotiating on the remainder BRL800 million, but the structure is not all defined yet. So, BRL3.3 billion is refinanced, right and the remainder almost all belonging to GT. BRL1.4 billion is a big chunk of that, so we can say that almost the same amount is also refinanced by Cemig D, right.
Unidentified Analyst: Yes, pursuing in my line of questions, April, May, that we will have [indiscernible] decision, can you make any comments about how this is going? The idea would be to rollover the payment structure. I would like to know, in financial terms, how it stands right now, perhaps a few more details.
Mauro Borges Lemos: As for Parati put option, we're talking at final stages already with the banks that hold the FIP is renegotiated and some as we wrap-up a model that is suitable to both parties, then we will disclose the results. Thank you.
Operator: Our next question comes from Mr. Henrique Peretti, JP Morgan.
Henrique Peretti: I would like to hear a few more details about the reconciliation agreement that was going through March with 30 days allowed time, but what's happening exactly in Brazil? Do you have any idea of when you're going back to the negotiating table or perhaps the ongoing political crisis in Brazil may have an impact on this negotiation? Right now the government is all focused on its own problems.
Mauro Borges Lemos: What happened is, there was this expression both from Cemig and the union, both parties agreed to request from the Supreme Court. So, it postponed the second meeting of the reconciliation negotiation, so that the second meeting would be more final, in terms of an agreement being reached by both parties. The proceedings are still running at technical level. Both the Treasury Ministry and Mines and Industry Ministry, they have very intensive involvement from these two ministries, Federal Ministries; given the institutional and economic situation. The timetable is being followed without any discontinuity. We keep on sticking to our schedule and it's right now at technical level and the market will hear about it and as soon as we have it, we'll disclose the date for the second negotiation meeting.
Operator: Our next question comes from Lylianna Yang from UBS.
Lylianna Yang: I would like to make the question about the level of -- well, you mentioned some extraordinary levels in terms of operational aspects, but we would like to hear figures and any idea about cutting additional operational costs from now on? Also about dividends, you retaining 50% of the payout in reserve, what's accrued balance of that count? And if you allow me a third question, there is a readjustment or a write-off concerning Renova because Light put almost BRL100 million. I didn't see the effects of that in your results, could you comment on that?
Fabiano Maia Pereira: Well in this specific case of PMSO, as I said and we have said, the intention is to proceed on making all the necessary adjustments in the Company. That's what we will pursue into at least the next two years. As for your question about Renova, perhaps Leonardo could say a few words.
Leonardo George de Magalhaes: As for Renova, we understand that investments made is profitable. We have no expectations of reductions or write-off of our FX. The points of sales so that the pricing model really takes shape, we have made adjustments in Renova; major one is a function of this difference between the previous methods, accounting methods, the one being used by [indiscernible] and the market. So, we understand that our investment considering the prospect is profitable and there's no prospect of reduction in this value at this point. As to confirm dividends, the rule as we understand as soon as the Company comes out or comes through the present difficulties, the dividends will be paid. The crucial part here is that the shareholders are really, they understand the situation that are being helpful.
Lylianna Yang: My question was, more precisely is -- well I would like to know the balance. Is a balanced BRL1.3 billion actually from one year to the other? Now, correct me if I'm wrong, but if I understood it correctly, the balance is now BRL700 million.
Mauro Borges Lemos: This refers to the non-distributed dividends of 2014. Also this year, we will refrain from distributing. So after the upcoming assembly, the balance will be BRL1.3 billion.
Lylianna Yang: Yes, that was my doubt, Thank you. So recurring EBITDA, if I don't see the other operating expenses if I have BRL100 million in terms of reversal of our provision for pensions and also profit sharing, it's something around BRL200 million and BRL250 million?
Mauro Borges Lemos: Perhaps we need more analysis before we can really comment on that. [Indiscernible] we will proceed through a more careful analysis, eliminating the non-recurring effect and then we'll be able to convey information to you after we've done that, okay?
Operator: Our next question comes from Raul Cavendish, Itau BBA.
Raul Cavendish: My doubt is concerned, if you could give us a little more detail on any plans, investment plans of non-core assets. Have you been looking at this also in your strategy to reach faster lowering of leverage? What assets could be included in such plan, if any? As for debts, the rolling over of debt in negotiations with banks, have you mentioned anything, equity injections in distribution to give them more comfort, when you come to negotiate the rolling over of your debt?
Mauro Borges Lemos: Well going backwards, with regards to injections, capital injections into Cemig D, the banks have not being pressuring us in that direction. Anyway, we're doing that in order to lower the leverage. Cemig D, right now we're restructuring the debt profile in order to improve it. It's not requirement of the system, of the banks that we have independently decided to do that, Cemig and its shareholders. As for your first question, about disinvestment plans, we're finalizing our strategic planning right now. It still have to go up to our Board for review and approval. But one of the main guideline is to focus on our core business. We have focused our core and we will seek to be present with companies where we have management capability. That's our main guideline, that's what we're bringing to our Board and assets not having those characteristics, we really work on disinvesting as needed.
Raul Cavendish: One further question, as for costs we saw that our analyst have raised spot or profit sharing and pension funds asset as impacting results. About profit sharing, why did you do what you did? Was it short from your expectations or if you compare profit sharing as against EBITDA, is that what allowed you to reduction? Also very strong reductions in terms of materials and outsource, is this recurrent also because that's what really pulled PMSO down. I'm having a difficulty thinking what's recurring and what's one off? Can your comment on that? Do you expect this level to be kept or was this not typical?
Mauro Borges Lemos: As we've said before, we understand that our shareholders are with us and they support our decision as for the sharing of dividends of BRL633 million. They understood that our position now was to back off a little bit and the prospect is to have that level maintained for another two years, more or less. Last year, we haven't settled all of these funds, so that was more or less what happened before. But then, we had this reversal. As for materials, we have also made this effort in-house to reduce expenses with material purchasing and also we always negotiating and aiming at the cheaper price. The procurement part is one of the pillars of our current strategy.
Operator: Your next question comes from Miguel Rodrigues from Morgan Stanley.
Miguel Rodrigues: One last point to be clarified, there were consolation meetings with the Supreme Court regardless of deadlines. I would like to hear from you, what are the alternatives for final configuration of this agreement? What would be realistic for you to accept and what have you since in terms of the willingness on the part of government to enter an agreement that's favorable?
Mauro Borges Lemos: What I would be able to say to you at this point is that, I could describe the parameters adopted for the negotiation. The parameters are based on the new legal framework enabled by the provisional measure 688. That made it feasible to have the November auction last year. It's based on this new legal framework that we're structuring this reconciliation agreement with the union under the guidance of the Supreme Court. That's the legal framework to make viable our final agreement.
Miguel Rodrigues: One more point, going back to the PMSO, you said you expected new reductions. What are the main initiatives along this year and into the next that will enable further solutions in PMSO?
Mauro Borges Lemos: Given the fact that our strategic planning has not been yet approve by the Board, I would hold back a little bit and I expect to reply later on. I should add that we'll have our Annual Meeting as usual, late May and we expect to have all that approved and we expect to be able to give you more details about the initiatives and strategies.
Operator: We would now close our Q&A session. I'll now move it over or hand over the floor to Dr. Mauro Borges Lemos our CEO for his final remarks.
Mauro Borges Lemos: Well, I would like to be very brief and straightforward in my closing of this meeting. First to say that we're very comfortable with the results that we have presented, they are within the expectations of both top management and managerial staff was counting on. These results I believe enabled, from the point of view of the Company, to ascertain expectations for 2016-2017, that all the adjustments that we will have to make will be made. We're pretty much aware of all the challenges we face this year and the next. I usually talk with my peers here and that we can count on -- these are five major challenges, I can use my hand to represent them. It's pretty much well depicted, the dimensions and the meanings of these challenges and we have such a solution for all of them. We have a path already set, laid down for facing up to these five challenges this year and the next and aiming at results that are as big as the Company itself. We're assured of the way we're going, the path we're driving. We need further readjustments and we're comfortable with the strategy and the measures we have been taking concerning our focus on core business where from we can derive the best results possible for the Company. So the webcast is now over. We thank for everyone's participation and wish you a good afternoon.